Operator: Thank you for standing by, and welcome to the Cantaloupe Fourth Quarter Fiscal Year 2023 Earnings Conference Call. At this time, all participants are in a listen-only-mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, today's program is being recorded. And now I'd like to introduce your host for today's program, Marissa Neuman, Investor Relations. Please go ahead.
Marissa Neuman: Thank you. Good afternoon, everyone. Welcome to the Cantaloupe fourth quarter earnings conference call. With me on today's call are Ravi Venkatesan, Chief Executive Officer; and Scott Stewart, Chief Financial Officer. Before we begin today's call, we would like to remind you that all statements included in this call, other than statements of historical facts, are forward-looking in nature. Actual results could differ materially from those contemplated by the forward-looking statements because of certain factors, including but not limited to business, financial market and economic conditions. A detailed discussion of the risks and uncertainties that could cause the actual results to differ materially from such forward-looking statements is included in our filings with the SEC and in the press release issued earlier today. Listeners are cautioned to not place undue reliance on any such forward-looking statements, which reflect management's views only as of the date they are made. Cantaloupe undertakes no obligation to update any forward-looking statements, whether because of new information, future events or otherwise. This call will also include a discussion of certain non-GAAP financial measures that we believe are useful for, among other things, evaluating Cantaloupe's operating results. These non-GAAP financial measures are supplemental to and not substitute for GAAP financial measures, such as net income or loss. Details of these non-GAAP financial measures, a presentation of the most directly comparable GAAP financial measures and a reconciliation between those non-GAAP financial measures can be found in our press release issued this afternoon, which has been posted on the Investor Relations section of our website at www.cantaloupe.com. And with that, I'd like to turn the call over to Ravi.
Ravi Venkatesan: Thanks, Marissa. Good afternoon, everyone, and thanks for joining us today for our fourth quarter and fiscal year 2023 earnings call. It has been an incredible year for Cantaloupe, capped off by a strong fourth quarter. For the fourth quarter, our revenue increased 11% year-over-year to $64.2 million. Importantly, transaction revenue grew 18% and subscription revenue grew 17% year-over-year for Q4. Adjusted EBITDA for Q4 was $9.2 million, a fourfold increase over last year's corresponding number. For the full fiscal year, our revenue increased 19% to $243.6 million, a new record for the company. Transaction revenue grew 20% and subscription revenue grew 16% year-over-year. We also improved gross margin to 33.3% compared to 31.3% in fiscal year 2022. Importantly, we improved gross margins sequentially through each quarter of the financial year. After 2 years of negative equipment margins, we delivered a positive equipment margin of 1.7% in fiscal year '23. This improvement was a result of more responsible competition in the marketplace for telemetry and payment devices, following the 4G upgrade cycle where discounts were needed to incentivize and support our customers through it. It is also driven by diversification of our equipment product portfolio, which now includes higher-margin smart coolers and micro market kiosks. We also improved our margins for the combination of subscription and transaction revenue from 38.8% in fiscal year '22 to 40.2% in fiscal year '23. Our initiatives to accelerate subscription revenue growth and control expenses, accelerated operating leverage, which we highlighted as a priority at our Investor Day last December. Consequently, adjusted EBITDA for the fiscal year was $17.8 million, an 80% increase from last year. Finally, we ended the fiscal year with over 28,000 active customers, a 19% increase over fiscal year '22. In addition to these financial accomplishments, I'm also pleased with operational accomplishments from this fiscal year that create a great platform for long-term growth and profitability. First, we successfully expanded our footprint in the fast-growing micro market space with the acquisition of Three Square Market. Second, we continue to scale Cantaloupe ONE, our Platform as a Service offering, which has enabled us to penetrate the SMB segment better. Third, we completed the move over to AWS Cloud Services, which has enabled scale, business process optimization and global expansion of the Cantaloupe platform. Lastly, but importantly, we hosted our inaugural Investor Day where we were able to showcase our leadership team as well as provide a longer-term outlook with 3-year financial targets. We remain committed to increased transparency and visibility into key drivers of the business for our investors. For 2024, we will focus on expanding operating leverage as we shared at our Investor Day last year. We will accomplish this through a 3-pronged strategy, driving subscription revenue, optimizing COGS and controlling operational expenses. I want to spend a few minutes elaborating this. We'll drive subscription revenue by focusing on three areas. First, accelerating growth in micro markets. The total addressable market for this space is over $1.7 billion. We are already the market leader on the software side and are now positioned to grow as a comprehensive solution, including kiosks, payments and software. Since our acquisition of Three Square Market, we've been acquiring new customers because of the appeal of our comprehensive suite of solutions. This includes, Take a Break, Kantine of Northern California and vacation land vendors who have gone all in on our Seed Software, cashless solutions and micro market solutions. This showcases the appeal of a complete platform for our customers. On the go-to-market front, we continue to expand into indirect channels more. In Q4, we expanded our partnership with the AVS company as one of our master resellers in vending and amusement. They now offer Cantaloupe card readers, micro market kiosks and cooler cafe payment terminals along with smart locks added to their cool blue cooler line. The second driver of subscription revenue is further penetration of our Cantaloupe ONE platform for SMBs. As an example of this, during Q4, SAMs, an existing customer used Cantaloupe ONE to deploy seed in addition to expanding their rollout of cashless ePort devices. They were also able to sign up for our remote price change add-on. Another customer like Sam's was Peninsula Bottling who were under-deployed on cashless. Our team was able to bundle the rest of their fleet on to cashless along with Seed Pro Software. The third driver of subscription revenue is extending our revenue per connection. We will do this by continuing to launch meaningful revenue driving add-on modules that our customers can purchase on top of their current service stack. We'll also leverage our customer success management teams to execute against this strategy. Two examples of exciting new add-ons that we debuted at the NAMA conference in May are the Cantaloupe Go product line and the Seed Pick Easy. The Cantaloupe Go self-service product line was developed so that consumers can bite and go. It includes self-checkout kiosk, smart store concepts and the Cantaloupe Go management platform. The Seed Pick Easy solution is a cloud-based technology solution designed to deliver time and operational cost savings to operators by optimizing warehouse picking. Unlike other competitive offerings, this plug-and-play solution integrates directly with an operator's vending management software, allowing warehouse workers to quickly generate digital pick list. Operators can deploy Seed Pick Easy without disrupting current processes and scale the solution rapidly as their warehouse capacity grows. In addition to extending revenue per connection with existing customers, these add-on products and solutions enable us to further penetrate the enterprise segment. To highlight a few other customer wins with add-on products. In Q4, we signed an agreement with CSC ServiceWorks, one of the largest providers in the country of air vac machines to roll out remote price change across their entire fleet. We also signed a deal with Blue Rhino, leveraging outdoor vending solutions equipment to roll out Cantaloupe card readers with vertical-specific add-ons across all their outdoor propane tank refill stations in the United States. This is a great example of success with our strategy to penetrate adjacent verticals. Finally, in Q4, Pepsi MidAmerica one of the largest Pepsi bottlers committed to replacing their current BMS provider with Cantaloupe and have agreed to go all in on Seed to support their vending, micro-market and office coffee business, utilizing Seed Software along with available add-ons for these specific businesses. Through fiscal year '23, we've seen tremendous success in the bottler space and are excited about the opportunity with them in fiscal year 2024. In addition to driving subscription revenue, the second area of focus for fiscal year '24 will be optimizing the cost of goods sold. We will do this by negotiating better terms and optimizing transaction routing for payments. We'll also continue to manage the cost of our equipment while navigating a complex supply chain environment. The final area of focus to drive operating leverage is related to controlling operational expenses. Fiscal year '24 will benefit from FY '23 initiatives, including our migrations to the AWS for cloud infrastructure, maturing the rollout of our sales force CRM, NetSuite, ERP and other IT infrastructure improvements. To wrap up, I'm incredibly proud of what our team has accomplished in fiscal year '23. I'm even more excited about being well positioned to address the opportunities in front of us for fiscal year '24. With that, Scott will now review our Q4 results in more detail as well as outline our outlook for fiscal year '24. Scott?
Scott Stewart: Thanks, Ravi. As Ravi mentioned, we delivered another strong quarter of revenue growth and record profitability. Our 4Q '23 revenue was $64.2 million, up 11% year-over-year. Our combined transaction and subscription revenue grew 18% to $53 million during the quarter. This includes $17.5 million of subscription revenue, a year-over-year increase of 17% and $35.5 million in transaction revenue, an increase of 18% year-over-year. The overall increase in revenue was driven by processing volumes, including contributions from our 32M acquisition and higher average transaction ticket sizes, along with the accelerating subscription growth from Cantaloupe ONE. Our equipment revenue was $11.2 million, a decrease of 15% compared to Q4 FY '22. This was primarily due to prior year being our largest quarter on record for equipment sales, driven by the 4G upgrade cycle. Total gross margin for the quarter was 40.1% compared to 29.5% in the same quarter last year, driven by higher margins across all three revenue lines. Subscription and transaction revenue margins were 44.2% versus 39.5% in the prior year. The fourth quarter did benefit from a processing rebate of $775,000 related to prior quarters. Without this benefit, the subscription and transaction revenue margin would have been 42.6%, still a significant increase from prior year. As subscription revenue becomes an increasingly larger share of our overall revenue, we expect to realize margin expansion both in the terms of gross profit and operating margin. Equipment revenue margin for Q4 FY '23 improved to a positive 20.8% from a negative 4.6% in prior year. We also had a onetime benefit of $750,000 related to our equipment COGS for the fourth quarter. Without this benefit, equipment revenue margins would have been a positive 14.1%. Total operating expenses in Q4 FY '23 were $22.3 million compared to $19.2 million in Q4 FY '22. Net income applicable to common shares for the fourth quarter was $2.8 million or $0.04 per share compared to a net loss of $2.1 million or negative $0.03 per share in the prior period. Adjusted EBITDA was $9.2 million in the fourth quarter compared to $2 million in the prior year period, an increase of 362%. The transaction processing rebate and onetime equipment COGS benefit previously mentioned, had a combined $1.5 million positive impact on adjusted EBITDA. We ended fourth quarter with our cash and cash equivalents of $50.9 million and generated $8.4 million in cash from operations. As Ravi alluded to, our capital allocation priorities continue to target profitable growth and are specifically focused on driving operational improvements to control OpEx, expanding our micro market offering and investing in our domestic and international go-to-market strategy and product development. Now turning to FY '24 guidance. Based on what we see today, we expect the following, total revenue to be between $275 million and $285 million, representing growth of 13% to 17%. The combination of transaction and subscription revenue to be between $234 million and $242 million, representing growth of 17% to 21%. Total U.S. GAAP net income to be between $9 million and $15 million. Adjusted EBITDA is expected to be between $28 million and $34 million and total operating cash flow to be between $28 million and $38 million. We expect adjusted EBITDA to be more heavily weighted towards the back half of FY '24 as we make investments in sales, marketing and implementation capacity early in the year and benefit from the ramp-up of subscription and transaction revenue throughout 2024. With that, I'll now turn the call back over to Ravi for a few concluding remarks. Ravi?
Ravi Venkatesan: Thanks, Scott. As you can see from our results in fiscal year '23 and guidance for fiscal year '24, we continue to execute against the 3-year financial targets we outlined last December. With that, we'd like to turn the call back over to the operator for the Q&A session. Operator?
Operator: Certainly. One moment for our first question. And our first question comes from the line of Josh Nichols from B. Riley. Your question, please.
Josh Nichols: Yeah. Thanks for taking my question. Clearly, a big milestone with the company achieving 40% gross margin, even with a couple of the onetime small benefits that you mentioned. How should we think about the opportunity for expansion in fiscal '24 and how to incorporate that into the guidance for this coming year?
Ravi Venkatesan: Hey, Josh, thanks for the question. It's a great question. And we have worked very hard over the past 18 months, improving our gross margin, especially on the transaction processing side and the subscription fees and then just more recently on the equipment side. So as we look at those individually, transaction margin this quarter was just north of 20%. We did have that onetime benefit that we mentioned on the call. Without that, we'd be just south of 20%, so we be in the high teens. And that's what we're expecting going forward as we roll into 2024. As you look at the subscription fees, we've seen an increase over the past two quarters. Historically, we've been at 80% to 85%. Third quarter, we're closer to 90%. And this quarter, we were above that. As we rolled to 2024, we expect it to be more in the 85% to 90%. I think it will be higher in the first half of the year and then maybe scale back just a little bit in the second half of the year as we continue our international expansion and the sale of Cantaloupe ONE [ph] And then on the equipment sales, this year without the onetime benefit that we had this quarter, we would be at 14.1%. I think that's a good mark going forward. We could be a little bit lower what we have built into our budgets around 10% to 15%. And that's as we scale internationally, we could take advantage of some situations of our balance sheet as we look to make some deals with some people overseas.
Josh Nichols: Thanks. And then just to elaborate on that a little bit since you mentioned the international expansion here. You've talked about leveraging channel partner relationships to foster growth there. Where do we stand on that? Is there a time line for a rollout? What's been done? And how are you going to be balancing the company's growth versus being cost conscious on how you invest some of the capital going forward for this international rollout?
Ravi Venkatesan: Thanks, Josh. We continue to stay committed to the philosophy of growth at a reasonable price. And we continue to balance profitability and growth, which is reflected in our guidance as well. The development of channel partners in the Phase 1 international markets, which for us are Europe and Latin America is going on very well, and we have identified selected and enabled and empowered those partners already and did chalk up some revenue from those markets in fiscal year '23 and expect meaningful revenues to start coming out in fiscal year '24.
Josh Nichols: Thanks, Ravi. And then last question for me. You've done a really good job. The micro markets opportunity is clearly growing very quickly relative to traditional food and beverage vending here. If you could just elaborate a little bit, like what percentage of that - of the company's revenue is today? And what type of growth rate do you expect to see from the micro markets business, given that the overall growth rates are much higher than anything else that we've seen in the space.
Ravi Venkatesan: Yes. Today, we don't disclose the specific breakouts, but it is well under 10% today. And in the long term, and when I say long term, think about kind of a 3 to 5-year time horizon, I expect it to grow to be a more meaningful 25% to 30% level of the company's overall revenues. Now keep in mind, that's not just the micro market space, but also associated products like smart coolers and smart retail and so on. So there are some things that are bundled kind of in a broader definition of that micro market space. And all those put together, I think, we'll end up at that level.
Josh Nichols: I appreciate the clarity. Thanks, guys.
Ravi Venkatesan: Thank you.
Operator: Thank you. One moment for our next question. And our next question comes from the line of Gary Prestopino from Barrington Research. Your question, please.
Gary Prestopino: Hi, Ravi. Hi, Scott. How are you doing?
Ravi Venkatesan: Good.
Gary Prestopino: A couple of questions here. In your long-term guidance that you gave at the Analyst Day, you were actually talking about a 10% equipment margin. Obviously, you're higher than that right now. And I think you kind of said for - in your modeling purposes, you're talking about maybe 10% to 14% margin. Is a lot of that lift due to 32M and what they're contributing to the mix of equipment sold?
Scott Stewart: Yes, Gary, thanks for the question. It's a little bit of both. So we do have higher margins on the Three Square Markets, average micro markets could sell anywhere from $5,000 to $20,000 depending on the size of the market. And the margins on that are more around the 30% range. But we are also seeing - we did a price increase in January of this past year after we got out of the 4G upgrade cycle. And as Ravi mentioned in the prepared remarks, we're seeing a lot more responsible pricing, I would say, from competitors. It's allowed us to increase our margins as well.
Gary Prestopino: Okay. Thank you. And then can you comment on where your Cantaloupe ONE Seed stand? You were at about 20,000 at the end of Q3. How much has that increased?
Scott Stewart: Yes. So overall, we're closer to 24,000 now as we end June 30. We were tracking to about 5,000 per quarter. The fourth quarter came in right around 4,000. I think we had a big push for equipment sales towards the end of the quarter that might have lightened up on the Cantaloupe ONE deals. But as we roll into this next quarter, we are seeing that same traction around 5,000 per quarter.
Gary Prestopino: Okay. And then just a couple more here. As you look across your entire enterprise with your connections, it was at 1.17 million. What percentage of those right now have no real software that's associated with the connection. And I'm kind of looking at that is that something of a white space within your customer base at this point?
Ravi Venkatesan: Yes, it's still close to 40% to 50% range. And the reason there is a little bit of a range there is some of the software add-ons can be activated and deactivated. So there is a little bit of ebb and flow there, but it is in that range. And yes, you're correct that there's quite a bit of white space there. Now keep in mind that the software that applies to different segments will vary. For example, if it's a parking meter, the SEED Software that lets you manage your warehouse and manage restocking doesn't apply to that vertical at all. So anything - any number of machines in that vertical are not part of the addressable market for that software. So you have to factor that when you look at what's whitespace just within the places where we have cashless and can deploy Seed Software.
Gary Prestopino: Okay. And then, I guess when you're talking about getting better terms and transaction routing, is that because you hit such a mass in terms of your volume process that you have the ability now to go back to your processors and say, hey, we're generating x amount of dollars. We need better terms and they're taking that. That's part of it. And then there is a whole set of other complex things both around how transactions are routed, what kind of fraud checks are in place. So there are a number of levers we have to improve the COGS on the transaction processing and hence, improve the margins on that. Thank you.
Scott Stewart: Yes, we were also looking at overall gross take rate and trying to increase that as well. So if you look at fourth quarter of 2022, our overall gross take rate was 4.87%. Last quarter, we got up above 5%, and we're above 5% this quarter, too. We see that lasting as we continue on. So it's another area of focus, not just improving the COGS side of the house, but also increasing the overall growth take rate.
Gary Prestopino: Okay, thank you.
Operator: Thank you. One moment for our next question. [Operator Instructions] And our next question comes from the line of Chris Kennedy from William Blair. Your question, please.
Chris Kennedy: Yes. Good afternoon. Thanks for taking the question and it's great to see the leverage in the business. Can you talk about subscription revenue, the growth slowed a little bit this quarter? You previously targeted at least 20% subscription revenue growth over the next couple of years. Just talk about your confidence in that? And if you could talk about the quarter, that would be great.
Scott Stewart: Sure. So yes, Chris, overall, we did see a slight dip in our subscription fees this quarter compared to last quarter. Part of that was due to the 3G, 4G upgrade cycle, where we did have some devices and 3G devices that went dark and they went in and deactivated those. A lot of that deactivation happened in the fourth quarter. So we took a little bit of a hit. What we have seen is a lot of those devices now have been replaced and the new devices are back up and transacting. So we see that just as a onetime dip. As we look out to 2024, we are projecting our subscription revenue to grow somewhere in the 18% to 22% range. The guidance that we provided on the transaction and subscription revenue was in the 17% to 21% range. We think the subscription will be a little bit higher than the transaction. And we foresee that as we go out into the next 2 to 3 years as well.
Ravi Venkatesan: Yes. And as a reminder, we had - prior to doing the 32M acquisition, we had said that we expect to - for the year to be in the low teens, when we did the 32M acquisition, we said it would be in the mid to high teens. So we're still in that range, albeit on the lower side in terms of the overall subscription revenue year-on-year growth.
Chris Kennedy: Okay. Very helpful. Thank you for that clarification. And then just Ravi, any update on like the M&A environment, talk about your balance sheet and kind of what you're seeing out there in the market? Thank you.
Ravi Venkatesan: Yes. Our cash position and balance sheet is measurably better than it was 6, 7 months ago, which is a lot of great work done across multiple areas from Scott's team as well as collaborating with other departments. The M&A environment continues to be competitive, and we see both good companies with good products that could be an opportunity for us to acquire. However, even though the public markets have significantly corrected down, we are still seeing a little bit of dissonance in terms of expectations when it comes to the private market side, particularly with smaller companies that could be tuck-in acquisition targets for us. So - so there have been cases where a company or an acquisition would have made sense for us. However, we just did not want to pay the multiple or the valuation that they were aspiring to. And we continue to be very disciplined about what multiple we would pay for a target even if it makes sense, otherwise, from a synergies perspective.
Chris Kennedy: Great. Thanks for taking the questions.
Operator: Thank you. One moment for our next question. And our next question comes from the line of George Sutton from Craig-Hallum. Your question, please.
George Sutton: Thank you. Post the upgrade cycle to 4G, we talked about how you were going to be going on offense, and you did mention pricing, but you ran through a pretty impressive list of name brand wins this quarter. And I'm curious if you can just give us any sense of how offense has meant changing your go-to-market strategy in terms of more salespeople, anything else that you would sort of call out there that's responsible for this?
Ravi Venkatesan: Yes, George, thank you very much for that question. And yes, the 4G upgrade cycle had required us to be high on defense and also incent and support. More importantly, our customers through that cycle so that they don't lose revenue just because they didn't upgrade the device. Having got through that, our customers' wallets have also freed up much more, right? So instead of investing in upgrade of a device, which really gives them zero added functionality, they are now looking at how do I make my business more resilient, more operationally efficient, and that has led to better appetite and adoption of our software side. And as that happens more and more, it will benefit the subscription revenue side of the equation. And more importantly, it will also make our customers be more stickier. So we're definitely on the offensive on that side, and we are on the offensive with adjacent verticals like amusement, et cetera, where, again, the upgrade cycle had a little bit of a drag effect.
George Sutton: Got you. And then just second and last for me. Ravi, you mentioned meaningful potential revenues internationally in '24. Can you explain to us what's built into your guidance for '24? And how are you defining meaningful?
Ravi Venkatesan: So we haven't broken that out. And for competitive reasons, I'm reluctant to share a specific percentage. But what I will say is I consider it meaningful as it starts cresting kind of the 5%, 8% level. And over a few years, of course, it will become much more meaningful than that. But for what I would call the first year of meaningful contribution from other markets, I think that's a good barometer to use.
George Sutton: Got you. Perfect. Just to comment, Scott, at the Analyst Day when you laid out your expectations, particularly for margins, I think everybody thought you're a little nuts and you loan away those expectations. So congratulations.
Scott Stewart: Thank you, George. I appreciate that comment. Thank you.
Operator: Thank you. [Operator Instructions] And this does conclude the question-and-answer session as well as today's program. Thank you, ladies and gentlemen, for your participation in today's conference. You may now disconnect. Good day.